Stephan Shakespeare: Thank you very much, Roger, our Chairman, and good to see so many of you because obviously this time of day suits you better. Not getting you out first thing in the week shows your commitment, so -- the commitment of those who was there before. We have had a great year. We've got strong revenue growth of 9%, which is actually even higher at constant currency, significantly ahead of the global market for our industry, which we think is just above 3%, so we are gaining market share significantly. Our adjusted operating profit is up by 35% and EPS growth -- unadjusted EPS growth is 75%. All the divisions are now driving growth. We've always had some bits of the business lagging, other bits of the business -- in fact, all of the parts, Data Products and Services, Cube-aligned Custom Research are doing extremely well. We're firing on all cylinders. All the geographies are doing reasonably well. Some are doing fantastically well. Excellent cash conversion of 119%, with balances numbering GBP 31 million, which we have started to put to use, as you know. And we have plans to make that productive, to continue to make that productive. We are recommending a dividend increase of 50% to 3p per share. The global footprint has expanded to include India, Italy and Spain. We've had acquisitions both in Australia and in U.K. in line with the strategy that we've outlined. I'll say more about those later or others will. EU GDPR and low trust in digital advertising, we believe is a big opportunity for research and activation. I will be talking about that later in the strategy update when I will show that, for us, GDPR isn't a regulation to be nearly complied with, but is a big opportunity to be grasped, that concerns about privacy and how your data is used is something that is a huge opportunity for us because we are in direct contrast to some other users of data. And we are developing new offers around that, a blockchain permissioning solution is in development, which I'll be presenting to you a little later. Current trading is in line with the board's expectations, tracking well towards our 5-year growth plans, which you know are very ambitious. And I now hand you over to Alex. I'm so embarrassed. I'm sorry. I have some more. We're tracking well towards those 5-year growth plans. You see that adjusted operating profit is growing. And indeed, I think there's a degree of acceleration there. And it's driven by higher margins from 14% to 17%. That is a part of our -- that is a consequence of our focus on those higher-margin products and services, but also, as we shall see in a moment, that Custom Research is achieving higher margins. So the proportion of revenue from Data Products and Services, which we have always set at 50% as the aim. You'll notice this is the Custom Research part that hasn't grown. That's deliberately. In fact, the good parts, as we will see, have grown. And the bits of the Custom Research sector, Custom Research parts of the business that we have not wanted, that are lower margin, that are smaller projects, which you have to chase, and the consequence is they're irregular and they've been, I would say, harmful to our business and a real negative part of the custom research industry in general, that we have taken away so we haven't seen revenue growth. That's a deliberate, planned trajectory, but of course, we've made it much more profitable. Then there are Data Services and Data Products. Just to remind you, Data Services are the engineered, custom, if you like, Omnibus, field and track (sic) [ Field and Tab ] and so forth, which have high profit because they are highly engineered, they are repeatable and lots and lots of instances of work going out the same every single day, so they are those higher profit margin areas. And of course, the Data Products, Plan and Track, as we call, what we used to call BrandIndex and Profiles, is a syndicated offer that has many multiyear deals. And so that also is a key part of increasing the visibility of our future earnings as well as higher margins -- of profits. Strong growth and improvement in margins across all divisions. So first of all, Custom Research, and that really is an extraordinary chart because this was always the bit that we said is slowing down the company, the Custom Research as I've already described. But the big tracking projects, which are often multiyear and multi-country are, of course, have huge efficiencies in them and should really be considered very closely akin to Data Products, in fact, our Data Products and Services. And that is a very big jump, and we hope to continue to grow that. The Data Services have come up again. You see there was a decline over some years. The reason for that, this is not a negative. I want to -- it's a bit complicated, I need to explain this a bit. There are really 2 essential reasons for this. First of all, Asia Pacific, where we do a lot of this kind of work, has turned profitable recently. So while we were introducing and expanding that, it was not profitable and it is now becoming so. So that accounts for it having been going down and then going up again at the margin. And then very importantly, that jump you saw in Custom Research, where we have made that into a much higher margin business, that's partly because the parts of that, that were not suitable for Custom Research are now going into the Field and Tab part of Data Services. So obviously, they're not as profitable as pure Omnibus. Omnibus is when we send one survey out with lots of different customers. It happens every day. It's very engineered. So that's very high margin. But the Field and Tab is a little bit lower margin, but higher margin inside Data Services than it is in Custom Research. So as you saw that margin going up in Custom Research, you did see it coming down a little bit in Data Services because it was taking on those slightly lower margin [ parts ] and in fact, making them more profitable. So a good story there, it's a bit complicated, and I apologize for that. And then finally, of course, the growth in margin in Data Products, which, as we add more customers to the same -- to the data we've already collected, becomes increasingly profitable. Now over to Alex.
Alex McIntosh: Thank you, Stephan. I'm just going to go through some highlights in the principal statements, and then go to some detail around the products and services and the countries. Just to reiterate, an incredibly strong year for us. You'll see we've got 9% growth in revenue. We'll get into the detail that underpins that. Whilst we've grown top line, we've also been cutting out quite a lot of the business, and so I'll come to the effect of that. But in essence, we've had some parts of the business growing very strongly. We've been really focused on delivering -- well, focus on high-margin sales and using our technology and our panel where we can. Part of the restructuring that we've been doing over the last couple of years has been taking out that type of business which was very low-contributing projects, either because the cost of sales is very high or very labor-intensive. And so the focus on those types of sales has given us a 2-point uplift in the gross margin, which is very encouraging. And at the same time that we've captured more gross margin, we've kept costs in line at the same time as investing. Stephan mentioned new geographies. So whilst we've been able to grow profit from an absolute quantum, but also from an operating margin perspective, that's also been done whilst opening up new offices in Spain, Italy and setting up new panels. Balance sheet remains strong. Key thing to point out is we have no debt. We have very prudent working capital management. A couple of things that have changed in the year. We acquired 2 companies. And Sunny will go into more detail on that. But we now are carrying some contingent consideration of GBP 6.5 million on those deals. And encouraging because we've been focusing on subscription business, we're starting to see deferred income from subscriptions also growing. So we're carrying a balance now of GBP 12.5 million, which is helping us get more visibility on our future revenues. From a cash flow perspective, just to remind people, the way that we sell the subscription products is we generally collect the cash upfront. And so the economics of that are driving great cash conversion for us. We've invested in panel and technology at the same level that we have done previously, a minor uptick in the year. But the biggest change in the 2 numbers you'll see is actually consideration for the acquisitions that we've made. The key thing for us is cash is still relatively high, GBP 30.1 million -- sorry, GBP 30.6 million. As Stephan says, we're starting to deploy that.  There's a couple things we've managed to do in the year, and of course, acquisitions will be something that we're focusing on in the next year as well. I just want to remind everybody where the growth is coming from. As Stephan set out, the strategy is to get a 50-50 split between Data Services and Products and the Custom business. The Data Products and Data Services, we're seeing a consistent trend. At 30 -- at constant currency, Data Products, 30% growth in the year. That's really strong performance and speaks to the investments that we made in creating those differentiated products, which clients are really buying into. Data Services, similar growth rate. Custom is a little bit of a mixed bag. You'll see it's -- on a constant currency basis, it's flat. We've had a lot of restructuring activities which has taken out low-contributing projects in the Middle East, Germany and the Nordics, roughly about GBP 5 million worth of projects. But we've replaced that GBP 5 million in the U.S. and U.K., where the teams there are really good at delivering high-contributing projects. So whilst revenue has been flat, in a second, you'll see that operating profit has improved quite dramatically. Data Products. Another reminder, it's syndicated data. It's data that we have collected once and are selling many times over. And so we get a lot of efficiencies from the technology and the investment we've made in data to date. We get a lot of profit conversion on the sales. And so you can see the growth in the operating profit of 66%, that really speaks to the strategy of really focusing on those products, the key driver for where our profit generation is going to come from. And certainly, Data Services, an engineered service that we have, where we're able to capture a lot of margin in those projects, also gives us a lot of profit growth. Just a minor point on Custom Research, a lot of taking out overhead has contributed to this, but also, we're really focused on getting large trackers that are using our panel and our technology, which we get good margins from. We've taken some cost out of the Custom team that was basically an innovations team, which is now sitting in central costs, so it's about GBP 2.5 million that's been reallocated from one team to the other. Obviously, that's distorting the increase in our central overhead costs growth in the year. Part of our increase in central costs is a big focus on cybersecurity. We're investing pretty heavily in that. And as the group is also getting more complicated -- complex, rather.  We're really getting on top of compliance and risks. So we've added to the central teams, but part of that is masked by the reallocation. Just thinking of geography. We really focus on the U.S. and the U.K. These are the primary markets that we operate in. The U.S. has been a very large focus for us over the last few years. In fact, we've nearly doubled the headcount there in 2 years. We've had phenomenal growth in the 2 main markets, but we are still relatively underpenetrated given the size of those markets. What's been really encouraging for us is the focus on Asia, where we're beginning to see a lot more multi-country relationships there. That's grown pretty significantly for us in the period. So we're beginning to diversify where our revenues are coming from whilst being focused on the major markets. And then if you look at where our profit is generated, the red and the blue are the U.K. and the U.S. Really, that speaks to the fact that we've created critical mass in those markets in terms of our capability there. And so with the focus on the Data Products, we're capturing a lot more profit in those 2 countries than we are in the other countries where we're still developing those capabilities. With that, I'll hand over to Sunny.
Sundip Chahal: Thank you, Alex. So relatively short and sweet for me. So a couple of slides here. Not to flog a dead horse, but you've heard about revenue growth and the growth in those margins, we've been able to achieve that by obviously not standing still, but continuing to focus on scale and efficiency. And we've done that in a number of ways. Firstly, if you look at our coverage, the lifeblood of everything you are hearing and seeing today is the Cube. We continue to expand that. So we increased both the number of panels that we cover. We increased the number of panelists. And we increased the depth of coverage on those panelists. And that's just ongoing. So we have a dedicated team which is focused on building out that data cube. In terms of collection, you heard from Alex there, we've made an acquisition there, which is InConversation, which is a Facebook-based messenger app. This again opens up a whole new range of audiences which are difficult sometimes to connect with. And these guys are pretty expert at finding those audiences. And we can collect data on those audiences. We have obviously mobile apps and also YouGov Direct as well, which Stephan will speak about, which is really the use of the blockchain to enable panelists to permission the use of their data with third parties. And Stephan will explain some of that later on. In terms of our existing website, we're revamping it and rolling it out in the U.K. at the end of the month. So all of you who are hopefully panelists will be able to see that. And we are also rolling out the mobile app worldwide. Self-service. We actually acquired a company called Decision Fuel, which those of you I'm sure will remember around about 3.5 years ago. They had developed a self-serve platform. We have relabeled that Collaborate. We've tested it internally. It's now in the beta phase externally. We've launched it in the U.S. We've launched it in the U.K. And we've launched it in Germany. And in Germany, delighted to say that actually has been taken on by an international retailer that's actually using it to script their surveys. So it's a good start. We're also now delivering Profiles, which is a huge, very complex connected data set in Crunch, which is our proprietary analytics tool. Now that's really important because actually that tool is incredibly important because the tools to analyze that kind of connected dataset don't really exist. This is drag-and-drop. It's very simple. It's very easy to use and can basically crunch that data, no pun intended -- actually, pun intended, at incredible speed. In terms of what else has been happening. Obviously, there is the increasing efficiency of where we're paying work. So Stephan mentioned it. It's a continuation. This isn't something that we woke up one day and decided to do. As projects mature, sometimes they move from one team to another team. So the type of people that are required to sell and set up a project is sometimes very different from the type of people that are required to manage and deliver a project. Those types of people tend to sit in different teams. So we've been moving that work over from the Custom team over to the Omnibus team. There's also the work that we just stopped doing that actually we weren't generating profit on. And you can see that in the results. That's significantly in the Middle East, Germany and little pockets of it elsewhere as well. In terms of our operations. It's been a big year for us. We've actually opened our second shared service center. So that's opened in Mumbai. It currently houses around about 30 staff. We started with data processing and scripting staff, but we've also added in other functional staff into that team as well. So we now have 2 shared service centers, one in Bucharest, which holds around about 60 staff, lots of various teams tapping into that, and then the one in Mumbai. We have also formed a cross-functional team which is overseeing GDPR compliance. Obviously, that's great fun, everyone really enjoys it. But a huge amount of work there done by our Company Secretary, Tilly. We've also added resource to the legal and data protection teams as well throughout the year, as Alex alluded to. In terms of security, we're beefing up the cybersecurity function. We've taken on significant headcount in the IT team. And we are working towards ISO compliance very soon; ideally, by the start of the next financial year. Stephan mentioned the new start-ups. So obviously, the SSC in Mumbai also gives us an opportunity to add a commercial arm to that office. Those guys started trading approximately 4, 5 months ago. And they're obviously in Mumbai. And we're very happy with the start they've made. And we've also added 2 European geographies recently as well, which are Italy and Spain. Very small teams there at the moment, teams of 3. In terms of the actual acquisitions, I've also obviously talked about InConversation: small team, 3 guys, we know them fairly well. They're not actually housed in our offices. They're working away from our offices and very fun entrepreneurial setup that they have there. Galaxy, which is a bolt-on in Australia. Galaxy was very similar or very well-regarded in the Australian market, very similar to YouGov. And they actually run the most famous poll in Australia, which is NewsPoll. And they're very well-regarded and a very strong, tight, mature team. And they started reasonably well. And then there's SMG Insight as well, which is a sports research agency who are tapping into the power of our Cube and are rolling out sports products worldwide. Obviously, any other questions, happy to answer at the end. I'm going to pass it back over to Stephan.
Stephan Shakespeare: Thank you very much, Sunny. Quite quickly through these because I think we've mentioned them in various ways. This is the BrandIndex slide, the growth in revenue. It's now in 37 countries. This is our flagship data product. It is biggest and as most of things are for us, in the U.S. And it is increasingly being sold together with Profiles as a Plan and Track combination. What BrandIndex allows you to do in contrast to Profiles, BrandIndex is a longitudinal dataset so that you can see how things are changing day by day, whereas Profiles is a cross-sectional view. That is to say, it allows you to look at the landscape of audiences, where people are, what they're like, what they're buying, how they get their media and so forth, what media they use for their messages and so on. That is now in 13 countries and that is growing as well. We are starting to be able to make them interoperable. That is something that will happen, that we'll complete in this financial year where the 2 datasets can be used -- obviously can be used in conjunction with each other at the moment, but they'll actually be conjugal in one -- as one dataset. And by the way, if that sounds like easy stuff, we created Crunch because that facility does not exist anywhere. You cannot look at broad, big datasets in longitudinal form in this way with any existing platform that we could find. We searched for that. And that's why we developed Crunch, which is going to be developing this three-dimensional Cube, which means you can look at everything changing in real-time or day by day, should we say, in all its variables. Omnibus, we've talked about. This is still growing strongly. It has over 1,000 clients and represents a very strong entry-level project -- product for us. It's strong in its own right. And some of our clients have actually sort of the equivalent of year -- of subscriptions -- of year-long subscriptions because they buy whole packages of space on our Omnibus, but it is also a way for somebody to come in and buy one question on one survey and start their experience with YouGov. So very important as we make that more and more self-service as well as a way of getting more and more clients involved in working with YouGov. Custom Research, a very big jump there. We've talked about that already. All kinds of studies, but the really critical ones are the multi-country, multiyear studies that form the core of its profitability. We've talked about so many times that 50-50 split that we've achieved. And I've signaled before and I want to say very strongly that we are not looking for any particular number in the future. We're not saying that, that becomes now 55/45 or 60/40 because, as you have seen, Custom Research is now a very strong, high-profit business with more visibility going forward, and therefore, incredibly important. It has become aligned with the rest of the business, which means that as one grows, it should influence the growth of the other. And so we are looking for a business in which both sides, the Data Products and Services and Custom are growing just as much as we can make them. So let's talk about the strategy because YouGov is very much a strategy-driven company. This is a company which is very clear about how it sees the world, how it thinks our industry is changing, what technology we need to develop to take advantage of that, what our -- what the future of our products are, what the opportunities are, and we think very carefully about where we're going. We communicate that very directly with you. So all the things that we've been talking about these last 4 or 5 years, I think you've seen come to pass, and we are driven very strongly by. But we are opportunistic, too. We see something new where we can go. And of course, we're in a position where we can often take advantage of opportunities very quickly, but we have a very strong and clear way forward that has a long way yet to unfold before we reach the conclusion of our current trajectory. That's not in sight. We are looking. We have a long way to go. And it's based on this, creating a complete connected system of research and activation. And I will talk about what activation means and how this is connected in a second. It's based on 3 key innovations, all of which you know: Cube; Crunch; and Direct, which is new, and I'll say a lot more about that in a moment. And then to engineer our operations around that, sales and marketing, research processes, 24/7 delivery, more self-service. Everything around these aims and these innovations becoming connected and engineered. So the underlying system is a connected data system. That means single-source, connected, permissioned data leading to activation. It takes us to the center, all the way through the marketing flow of the business. In other words, everything from understanding -- if you think of what does a marketer do? First of all, he or she wants to understand what the market looks like, so they can use the Profiles tool. They can see who -- what kind of people like what kind of products and why and what media they use and how you'd reach them and so on. That's your planning tool. You then follow that through into a campaign, which you can activate through YouGov. I'll show you that in a second. And you can track the success of your campaign, and you can adapt it all with this one system that runs through the entire marketing process. It's possible because of it being single source. That is to say, all of the data that we have comes from the same people. It's truly connected. It's not connected by some magical computational device. It's actually created from the same people and therefore, it's entirely reliable. It's continuous because you can follow these individuals. When you've done a survey with them on Thursday, if you want to, you can talk to them again on Saturday. Not necessarily everybody will answer, but we have very high response rates. So you can talk to the people and follow them and track them through the process of marketing. It's permissioned. It's GDPR compliant and panelists can manage their privacy settings at a granular level. That's what is coming with YouGov Direct, which I described, but it's already highly permissioned. When GDPR came in, we ran a survey to all of our panelists. A survey which took them through how we use their data and made sure that we ask them whether they were happy with that, if they wanted to opt out of any of that. Very few opted out, nearly all were happy. And the reason for that, of course, is that's why they join our panel. They join our panel in order to give us data and to have that data used and to be paid for it. So it's permissioned. Ethical data is actually at the heart of our whole process of why people join us and how we want to use that data. So we see GDPR as a very positive step for the -- not just for the industry, for the world. And we embrace it not as just something we have to be compliant with, but as something that gives us new opportunities, and that opportunity is activation. Data being activated means it goes from something you simply used to understand in aggregated forms, particular groups of people, and it goes into saying, what we can actually use the data to determine our campaigns, to track our campaigns and to change our campaigns through tracking real people who have permissioned the use of this. So the data used to create targets and media plans drives the campaign from the start to the finish of those campaigns. That provides integrated, fast, practical solutions. I often think about, what does data really do? And people like to say, it produces insights. I do believe it produces insights, but I prefer the idea of a map. That what our data is, is a detailed map of the population, of what they're like, what they think, what they relate to, how all these things help products and services and audiences, how they all relate to each other. That's what Profiles does. And that map can be used, as it were, to steer a campaign through all kinds of different phases. It's all fully connected in a single system. And by the end of this financial year, we will have a screen which uses Crunch to connect all of that data to make everything cross-operable and to be, what I've often described to you and you've heard me say before, the Bloomberg of market research. It's engineered. We engineer around various pieces. So large, engaged, longitudinal panels in all key global markets. Single source data collection, I've just talked about that. It means our data is truly connected. Other people sometimes claim to have connected data, by which they mean they use analytical tools to do that. In our case, the digital and the nondigital behavior and so on is all connected through the same people, so we can track that. It's GDPR compliant through blockchain. I'm going to talk about that in a moment. That hasn't been launched yet, but that's our engineered solution to that. The dashboards and the platforms we have, including activation and cloud-based analytics, all fit together with a GUI, with R and Python APIs. And although I don't understand a lot about that stuff, I'll have to say I was -- the other day, I was on a breakfast talk show in India. You would be surprised Billy Joel interrupting our discussion, believe it or not, analytics, it has an 8 million, 9 million audience. I was shocked that in India, you would have such an interest in a breakfast show and talking for 40 minutes about analytics and questions came in like: Do you recommend R or do you recommend SPSS? So it's very good that we're having a shared service center there because it's a very mathematical nation and though that's not my expertise, it was fun to do that. It's a repository as well for all of your data, this is Crunch, a repository for all of your data regardless of source, providing an ongoing valuable asset. These are the engineered aspects of our operations and of course, sales and marketing, all of those things fitting around that, too. Our 3 key innovations, which you know about the first 2: Cube and Crunch, and the third is YouGov Direct. Let me talk about that now. YouGov Direct is a prototype that will be -- that will go through its first experimental phase in a few weeks as an app. And it consists essentially of 4 pieces. One is a dashboard for users, initially our panelists, to upload and share their data. In the case of our panelists, of course, we already have that data. And in the case of new panelists, they will upload their data. Upload here simply means answering surveys in the first instance, although later that can get to more complex forms of data as well. So the first part of YouGov Direct is a dashboard where you see the data that you've given us, and you say, how these can be permissioned beyond their use in aggregated products. Obviously, we use the data already. We've paid for it, and we use it, as we've said, to people when they join in aggregated data products. But this is to say, what other uses can we use that data for and people will be able to permission that to say, actually, you can use this for these kinds of messages or this kind of use to those kinds of clients. It will be allowing you to do this in a detailed, granular way. I don't expect large numbers of individuals changing their permission levels for every single piece of data. It'd be very complicated, so there'll be easy options to aggregate, to put together a whole or different types of data and so forth, but they can do whatever it is they want to do. Not in the first phase that we're launching it in a few weeks, but that is what the dashboard will be, a complete and detailed dashboard for that. There'll be a dashboard for clients, in which they can see what data and what people are available for use in different kinds of work, whether it's for research purposes or marketing purposes. And that is an extension of Profiles, if you like, because that is already a catalog of the data. And you can see it in there, but this is turning it into something that you can then operate for self-service research and activation. They will be a channel, which, in the first case, will be the app for delivering interactive messages. What that means is, if I want to speak to people who are members of a gym club in New York, then if that -- for those people that have made that data available for use, I'll be able to send messages knowing that these are people who go to the gym, if I'm a sports retailer, for example, and I'll be able to send those messages through the app. Those messages are essentially targeted ads, but they're interactive. So that instead of simply saying to somebody, here's a picture to look at, you can actually ask some questions afterwards as well to make sure that people have actually interacted. And people will, as a consequence of that, get a payment, which will be a receipt for what data was used by whom and when and how much you were paid for it, which is recorded in the blockchain in a receipt form. It doesn't give the data itself. It is a receipt for what was used and how and how much you were paid. And that is a transparent record of all of the use of that data so people, when they look at their account and they see the money coming in, they can see -- they can check to see, why did I get that money? How was it used? And was this something, therefore, that I had permissioned? That is YouGov Direct. A simplified version of that will start to a part of the panel in about 4 weeks. What it will do is enable the transformation of digital marketing world. This is where we are embracing the idea behind GDPR that citizens own and should control their data. And if you do that, if you embrace that, if you make sure that citizens, whether your panelists or whoever they are, the people you're talking to really understand and approve and get the benefit of the use of their data, then you can actually do much more interesting marketing, much more effective marketing. It therefore improves the understanding of audiences and the targeting of adverts, and it empowers individuals to control their data and get value from it. We are seeing this principally in the first instance as a research platform. That is to say, people can use the data to do further research. It becomes a very advanced form of self-service. If it takes on, as we hope it does, it will be something you can not only use to test advertising, but in fact, to do marketing to larger and larger audiences. So that's a very exciting development for us. And the next time I see you, I'll be able to report on how the experiments have worked out. Our group outlook. We have a strong backlog as we call it here, but actually, in other words, future knowledge of multiyear syndicated data product subscriptions, we can see a lot of the revenue as it comes. We have new data products. There's a new data product called YouGov Ratings, which will connect all of our data. So as BrandIndex reports in detail on something -- about 2,000 brands all over the globe in a detailed way day by day, Ratings will expand that to about 8,000 to 10,000 mini products, that is mini brands. That is to say, specific products, people and so forth, although it will be an annual number. So it will connect all of our data even further. That will be launching shortly. It will be launching within this year. We have continued revenue opportunities for our differentiated Custom Research offering. Now that we have aligned it to the Cube, it can do much more of the work of very large tracking projects, which we couldn't do in the past. That's where Crunch has helped us as well. We're continuing to invest in technology and geographic expansion as you've seen. We have got a very large amount of cash in the bank. That is going to be spent on -- in a productive way to get the most out of the things, out of the machine that we've built here. We have significant opportunities for digital -- for YouGov Direct and digital advertising and changing that ecosystem. We have -- our current trading is in line with our expectations, which you know are very ambitious, and the board remains confident of the full year numbers. We are tracking as well beyond that to our 5-year growth plans. Those are stretch targets. They're not exactly the same as our budgeted expectations. But if we can do -- if we can stretch this, then we will have achieved an incredible thing, I think, over 5 years. And as we've said in the pack that you will have received, in the announcements, we are working on another plan, 4- or 5-year plan, and it's part of us being very much a designed company with a strong design for our products, our strategy. And that will be shown to you in detail sometime in February or March. I think we haven't got the date yet, but the Capital Markets Day where we will unveil the next 5-year plan. Thank you.
Alex McIntosh: Any questions?  Yes?
Jessica Pok: Jessica Pok from Peel Hunt.  A couple of questions please. You've mentioned, you've obviously done a couple of acquisitions this year. And you mentioned there might be more to come. What kind of areas are you looking for? And is it add-on technology or will you be looking at more specialized expertise, for example, the SMG Insight, it was obviously sports expertise. Can we expect more of those? So that's number one. Shall I...
Stephan Shakespeare: Let me just answer that. So that is, we have a very clear strategy for this, right? There are 3 areas. You've actually identified them. And we, of course, had 3 examples of them this year. One is new technology, which is represented by InConversation, which is a chatbot. It's not -- it wasn't a very large acquisition, but nevertheless it allows us to do something new that we would have taken longer to develop ourselves. So that's what it signifies for the future.  If we can find others that give us new tools that are easier bought than developed in-house, that would be one type of target. Another would be geographic. Galaxy was a good example of that. Galaxy, a company, as you've already heard, that really fitted our strategy because they were like a little YouGov in Australia with good foothold, immediately increased the value of our panel there and is performing well for us. So while we haven't got plans for any very large acquisitions in that area of that type, we would be interested in anything that strengthens very easily and fits together with us and strengthens our position in countries that matter to us for growth, core countries, but I mean, the key targets. And thirdly, as you've pointed out, areas of new data/expertise. So SMG is a sports group with expertise and a lot of contacts in that area, enabling it to create a new product for us, which is the sports version of the Cube. They have developed that and started to take that to market. And that has been very successful. And so those are 3 types of acquisitions that represent really the 3 areas that we would go into.
Jessica Pok: In terms of YouGov Direct, I assume there's not many people out there doing something similar, but who do you see as your main competitors out there?
Stephan Shakespeare: So there are a lot of people out there doing blockchain for enabling data.  And some of them are blockchain, some of them are other platforms. And there's great interest in this area. And some of those are bigger tech companies. So there's lots of activity here. What we bring that's unique is a large, trusting panel that joined us in order to share data and who are therefore being enabled to get more value and more benefits and in fact, more influence out of their data. Nobody else has that. So that gives us a unique advantage. We also have a platform, the blockchain platform that we've developed that is efficient in recording and therefore making transparent the -- this whole process at a granular level. We came this way in order to satisfy the requirements of GDPR at the highest possible level. In other words, we said, look, this GDPR, it's transformational, we really believe in it. How do we do exactly what they say, which is to get permission and a receipt for every single use of data every time it happens? I'm not aware of anybody doing that. That's what our platform will allow. We didn't come because we were interested in doing blockchain for fun. This was -- we actually saw this as the best, most efficient way of delivering that. So I think we have a unique combination of a great platform with a panel that trusts us to do this, and that now sees its contribution being expanded, getting more value.
Jessica Pok: Just a final question -- well, 2, really. Data -- the rise in Data Products -- obviously we've seen a large jump in Profiles sales. Is the majority of that actually to new customers or actually cross-selling customers who already have BrandIndex? And just lastly, the Crunch products. Now obviously, you get Crunch with Profiles, does that come as free or is that an additional add-on?
Stephan Shakespeare: So the first part, that it's all 3 of the things that you mentioned. So there's cross-selling. So it's being sold together with -- as Plan and Track. And so people who buy one get the other one cheaper. I think it's -- well, I know it's essentially 1.5 -- 2 for 1.5. That's the sort of 50% off for the additional product. So that's one of the drivers of it. It's more multiyear sales. So sales are higher as well because several -- or quite a few of our clients are now wanting it 2, 3 -- there's even one case of a 5-year contract.  It's one of our largest contracts because people recognize this as essential data. And then the third part of that question?
Jessica Pok: Just whether the Crunch product is free?
Stephan Shakespeare: No, no, before, in the previous one, you had 3 things. So you said cross-selling, multiyear...
Jessica Pok: And new clients.
Stephan Shakespeare: And new clients, absolutely. So the more visibility we get, there's question that the YouGov data is good. It's the best. It's recognized as the best. One of our competitors actually uses our data and advertises that it uses our data as a way of validating their offer. And -- so we have -- if we can get -- the more visibility we get, the more sales we will get. It's universally regarded as high quality. Crunch is now, as you see, is 100% owned by us and it is selling to our clients. It makes the product stickier. We do include a subscription -- or we are starting to include subscriptions to Crunch inside it. Parts of it are free. So the use of Crunch inside the BrandIndex and Profiles is part of that product, but using it in the new ways that we're developing, which are not yet out, will be add-on product. Yes, Fiona?
Fiona Orford-Williams: It's Fiona Orford-Williams from Edison. Just in terms of the Direct. Ideally, would you want to migrate all your panelists across? And is there any way of integrating with their previously volunteered data or is it -- is the permissioning going to stop that being practical?
Stephan Shakespeare: No. Both of those things are things that we want and a third part. So the first part is, yes, we want everybody to be on that platform. Everybody will be on that platform in some form because if we are going to comply with GDPR and use their data in these ways, there's not going to be a second platform for doing that, right? But they don't have to take it to the level of offering their data. They're simply then using it as a place of recording their permissions. The second part was, do we want everybody to be -- everybody on the panel to be doing that? Ideally, we do. For the add-on use, ideally, we do because it expands the strength of the panel. Although, the fact that some won't be making their data available for further use and won't -- means we have a sort of control panel at all times for seeing if there are any cross-effects. We don't think there will be because of the way that we intend to handle this, but we will have a natural control panel. The third part that you didn't mention is that this enables us, we think, to vastly increase the attractiveness of joining the YouGov panel because it will make a lot more -- it will greatly increase the value of your contribution, and we hope that it will lead to a huge expansion of our panel. Now panel expansion is not important for our regular products. That is to say, panel is incredibly important, but we have a right size, as it were, for that. If you treble the size of the panel, you don't treble the value of Profiles, so we don't really want to do that. But as people do self-service, the larger the panel that you have, the better. And so we expect this new offer to be the simplest way to interact with YouGov. It'll give you the most control and give you the most benefits. And therefore, we expect this, and we certainly hope and we do expect this to be a major enhancement to panel growth.
Fiona Orford-Williams: Secondly, the use of the Plan and Track name, does that sort of signify a move away from the individual brands of BrandIndex and Profiles?
Stephan Shakespeare: So that isn't really envisaged. I think we would still call it BrandIndex and Profiles for the time being. I don't think there's any reason to change that because in America, actually, we're better known probably for BrandIndex than we are as a pollster in the industry, which is a good thing for sales. So there's no point in doing that. We use all 3, BrandIndex, Profiles and Plan and Track as an offer.
Fiona Orford-Williams: And while I've got the mic, there's a section in that Plan and Track where you talk about going with a global media agencies as a charter subscriber. What's a charter subscriber?
Stephan Shakespeare: Sunny, I think you've been more involved in this and you've talked about it before.
Sundip Chahal: Yes. And so, some of our plans are taking us into new geographies. And so this particular client, which was named as Dentsu, was interested in getting consistent data across the Asia Pac region. And so they asked us to go into new geographies which we currently don't have any capability. And so we've entered into markets like Taiwan and Vietnam virtually by, instead of building a panel, getting the products running and then turning on that subscription, we derisked that investment in the new country by essentially getting them to sort of subscribe before we've started. And then we also then approach other kind of clients in the region to kind of sell them subscriptions in. And so we were able to sort of advance the geographic expansion without having to sort of essentially take a hit on investing in the new capability.
Fiona Orford-Williams: And are they paying you a retainer or how does the commercial aspect -- you don't have to go -- it's overseas?
Sundip Chahal: We sell BrandIndex and Profiles exactly the same way everywhere. It's typically an annual subscription. It's a tiered pricing model depending on the size of the business. And there's no difference to the way that we operate with them.
Steven Craig Liechti: Steve Liechti from Numis. Can you just sort of give us any hints on the next 5-year plan on the basis that this 5-year plan really simplistically looks as though it's been a -- there's a go-to-market strategy, which has been the branded products, which has done really well, and there's a sort of internal strategy, which is data connectivity, data analytics stuff. And that's been amazing in terms of transforming the economics of the business and the returns. Is the next 5 years going to be as exciting in terms of the step change in the business from here?
Stephan Shakespeare: I think it's going to be the most exciting part yet. I would say this, but I think I can justify it very easily because the first part of it is just to get -- there's so much left in the engine just if we keep doing the same thing because we have obviously really fabulous global clients for our data. Some of the most sophisticated -- or I would say, the most sophisticated and biggest companies in the world use this, and yet there's -- we're still penetrated, what, 10% of this market or even less than that. So there's a long way to go just selling this. And we are gearing up our sales and marketing operations to take advantage of that. So we are, in this next plan, we will be reorganizing our sales teams to be much more focused on new sales of our basic subscription offer. So there's a huge bit just in that area. But we're adding this thing we call activation. And that is a very exciting term because what it means is, you go from understanding from doing research to saying, I can make this stuff count in actual marketing. I can actually use these data in what I do. Now some of that has already started. So you can use our data to activate particular -- to activate target groups like -- have we got the BARB thing working? It's now -- you're now able to do BARB segments, aren't you, using our data. Is that right? Yes. So in other words, you can start to say, I define in my data set, in my YouGov dataset, the target groups I want and then convert them into purchase in -- through BARB and through other forms as well, right? Actually, TGI groups, in fact, it links to as well, ironically, because it's still -- they're still sold that way. And then you can follow those people through track because a lot of our panelists allow, and again, this is very, very explicitly permissioned, allow their web behavior to be tracked so that we can see if they're receiving those adverts and then if they're affected by those adverts. So that's activation. It means that you're not just -- you don't stop once your campaign starts, you actually make the data change the nature of your campaign. And then as you go to YouGov Direct and start at the minimum. Obviously, it depends how many people we convert. At the minimum, you'll be able to test everything you do in a real-life setting. So you no longer have just an experimental setting where you say, would you buy this product if it was available, which is the way that market research usually deals with new products. You can actually make offers directly to people and see if they take up those offers and use those offers. So it becomes true activation all the way through sale. And that is a very important new addition because, of course, it is a much larger piece of the marketing industry as well. So I think this is -- the next 5-year plan has a lot of scope.
Steven Craig Liechti: That's really interesting. And just on YouGov Direct, what you just said there actually. So you're sort of saying you can become -- will shift from being a market research business to a marketing platform business. Is that a fair statement or is that a sort of just incremental revenue that we should think about? Or are you saying the business is heading that way as it develops and as it utilizes data up the value chain, I suppose?
Stephan Shakespeare: I hesitate to make predictions around this because we have very deliberately said, the thing that we're designing, is it useful for our existing business? Is it useful for the next step in our business? So if our existing business, in other words, getting permissions to use data in a more -- in a personal data setting, right? That's the GDPR part. So if it does nothing else, it's worth the investment for that compliance -- that super compliance. The second part is, whatever else, you will be able to do research in a new way. You will be able to talk to individuals. You'll be able to market to individuals in an experimental setting. So it will, in a market research setting, will be able to do real marketing research, which is not done in a way anybody else can do because they can't step over that because you wouldn't normally -- without GDPR compliance of this kind, you wouldn't allow yourself to sell to somebody on your panel. That would be a -- you'd be crossing a line that you couldn't cross. YouGov Direct crosses that because it is not a pure research tool, it is defined as an activation tool. And then if that grows, of course, it can go anywhere. But I would hate to make a prediction on that. It's the sort of thing that will be a very significant addition if it stays just at that second level.
Sean Thapar: It's Sean Thapar from Berenberg. Just a question about that integration between Plan and Track. How much of this is slightly being driven by kind of client side? Is there a sense that products are being integrated more with a wider remit and that's what marketers really want? And I guess, how are you just kind of shifting based on market demand in terms of your route to market for those 2 products?
Stephan Shakespeare: Yes. I mean, I think that is the case. I wonder if Sunny could you tell you more than that.
Sundip Chahal: Yes. I think you're absolutely on the money. This plan seems very loud [ compared to having spoke -- ] So yes, I mean, marketers and our clients are actually thinking on those terms. So one, we were obviously the first one to market with BrandIndex as a tracking product, but there's a stage missing there essentially because you need the stage before that before you get to tracking your segments. And that's where essentially these guys developed the planning tool. And it's really about those workflows. That's how our clients use it. So playing the 2 together like that, that is the way the, if you like, the products are going, not just in YouGov, but certainly our 2 main flagship products. So yes, absolutely bundled, that's the way our clients are buying it, that's the way our clients are using it. As Stephan explained with the BARB example, once you're able to use the planning tool to identify those segments, I mean, BrandIndex is a great add-on. No one else can do that. And you can even go back as well. So it really has been and is the way the clients are using it.
Sean Thapar: Yes. And I guess, just as a follow-up to that. Competitively -- are competitors also taking the same impact of trying to integrate products down? And I guess as a knock-on for that, is that giving -- is this process of having a wider kind of remit giving you opportunities to kind of be more aggressive into areas that they have had a very siloed product and never really kind of worked on it?
Alex McIntosh: I'll take that one.
Unknown Executive: Yes, go ahead.
Alex McIntosh: Yes, it is. So the products we have created are really around how do we get the data into the hands of our clients in an easy-to-understand way. Most companies have adopted a product-first strategy. It's born out of the rise of start-ups in the space. The key differentiator that we have is the first-party relationship. And so whilst we have the products that can do a set of features, we can adapt and mold those depending on client workflow because underneath it, it's got this dynamic dataset that is the actual driver of the value. And so that's the thing that's very difficult for our competitors to replicate. They'll be able to take slivers of it, but being able to make it all sort of interconnected and interoperable is a major shortfall. And that's important because increasingly clients are wanting to get more out of their research spend. And so having something that can just do one particular thing actually gives us an opportunity to attack that within our competitor's space.
Stephan Shakespeare: I mean, this goes to the connected versus unconnected part of that slide that I talked about, which is the systematic approach. If you are -- I mean, there are specific competitors, I'm thinking of 2. One of them collects their data in an offline booklet as it was. You're not going to get digital data that way. Another one uses other people's panels and therefore, can't re-access the same people to get all the other stuff. We have a panel that expects to be contacted over and over again by us. And therefore, we can connect all the different types. And if we had a new idea tomorrow, it would automatically connect to everything else. It is a singular product by its nature.
Sean Thapar: And then just turning on to Custom. I guess, again, the kind of trend is shift towards profitability, not really much organic growth going on in that segment. But I guess my question is, is your kind of deeper penetration on Data Products and Services giving you visibility on pieces of revenue that are kind of passing you by at the moment that you think you could address within clients? And just, I guess, getting an understanding of just how far you are away from really turning on the tap for organic revenue growth in that segment?
Stephan Shakespeare: Yes, you're absolutely right. As an accounting statement, Custom Research has not had organic growth for the reasons I said. We've actually been cutting down large parts. But what that means is you've seen the reduction to near 0 of some parts of it, but the bits that I described of multi-country, global, large-scale tracking projects has had huge growth. I mean, that is the driver of that. So we have big organic growth. That comes, as you rightly describe, from clients who are using us for other parts or small projects, seeing that, well, they can do that, why can't we do that? We've had some spectacular examples recently of very large projects coming to us that we wouldn't have been able to handle even 4 years ago before Crunch because if you do large tracking projects, there's a lot of process -- data processing. It's very heavy lifting. So only the big guys could do the really big, global pieces because they would have literally whole floors full of people doing the data cleaning. And that's all done now by Crunch. So we've added an efficiency that allows us to take up those possibilities, those opportunities. And that's why it's increasingly -- it's no longer something we say that Custom Research should now stay at 50%. I mean, I wouldn't expect it to grow higher, but if next year Custom Research was 55%, it would be because it was something that was very successful and aligned with the rest and perfectly happy with that. Any more questions? Well, thank you very much. Thank you for being here. I hope you agree that we have a good set of results and that we have a very clear strategy. And you're meeting the wider team now. There's 3 people running this thing together. And we have a very strong team around us as well, who you will meet if you come to Capital Markets Day in February/March. Thank you very much.
Alex McIntosh: Thank you.